Operator: Good morning everyone and welcome to Coca-Cola FEMSA's First Quarter 2019 Conference Call. As a reminder, today's conference is being recorded and all participants are in a listen-only mode. At the request of the company, we will open the conference up for questions and answers after the presentation. During this conference call management may discuss certain forward-looking statements concerning Coca-Cola FEMSA's future performance and should be considered as good faith estimates made by the company. These forward looking statements reflect management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties which can materially impact the company's actual performance. At this time, I will now turn the conference over to Mr. John Santa Maria, Chief Executive Officer of FEMSA Coca-Cola.
John Santa Maria: Thank you. Good morning everyone and thank you for joining us to discuss our first quarter 2019 results. Constantino Spas, our CFO; and Maria Dyla our Director of Corporate Investor Relations are with us here today. I'm pleased with our company's positive results to start the year despite currency volatility and uncertain economic conditions that affected our financial performance. In New Mexico and Central America, we reported healthy top and bottom-line growth as we continue to leverage on our state-of-the-art analytics capability. Our South America division's performance was driven mainly by a 9.1% volume growth in Brazil where we continue to gain share across categories, thanks to our robust portfolio and relentless point-of-sale execution. To protect our profitability, we continue implementing mitigation actions to navigate very complicated situations in Colombia and Argentina as well. We recorded topline growth of close to 5% for the first quarter of 2019 while our comparable revenues grew 10%. This growth was driven by prices ahead of inflation in most of our operations, excellent revenue management, and very agile and compelling point-of-sale execution. However, these positive factors were partially offset by unfavorable currency translation effects from all of our operating currencies, which represented the largest headwind of the quarter to our financial statement. Our operating income declined slightly less than 1%, 0.9%, while our comparable operating income increased by more than 9%. Our recorded operating income decline was driven mainly by higher PET prices, higher concentrate costs, and operating expenses and the depreciation in most of our operating currencies as it applies to our U.S. dollar-denominated raw material cost which was partially offset by sugar sweetener saving primarily in Mexico. Our operating cash grew 4.6%, while our comparable operating cash flows increased by more than 11% year-on-year. Consequently, our controlling net income increased by more than 7% for earnings per share of MXN0.1,5 which is equivalent to MXN1.23 per earnings per unit of the newly floated unit that we just did. During the quarter, we took significant steps to enable our strategy and to continue driving our vision to ensure sustainable profit growth. In portfolio, the continued revitalizing and expanding of the CSD category through affordability and innovation highlighted by positive performance of Coca-Cola Sin Azúcar in many of our markets, primarily in Brazil where Coca-Cola Sin Azúcar is growing at double-digit rates. And surprisingly, even in Argentina where we're under some difficult circumstances, Coca-Cola Sin Azúcar continues to grow 3%. In non-carbonates, we are taking important steps towards gaining scale and improving profitability. As an example in Brazil, we have restructured our portfolio and improved our competitiveness which resulted in double-digit growth in these very promising categories as compared with the previous year. In Mexico, our Santa Clara dairy portfolio and Monster Energy drink products both grew double-digits while our Powerade brand grew mid-single-digits. We are very encouraged by the innovation pipeline that we have developed together with the Coca-Cola Company. As announced this week, there are launches coming across categories like [Indiscernible] products that we're launching in Mexico that will boost our play in the higher growth enhanced-hydration category. And once we prove this concept here we will roll to Brazil as well. Other initiatives such as Coca-Cola Coffee which we already launched last year in Brazil, we have very positive results. We will be launching in different parts in different markets. And we will also be participating in the new product category developed by Coca-Cola and Coca-Cola Energy as the year develops. Importantly, highlighting the flexibility of our portfolio, we continually -- we continue successfully rolling out affordability initiatives in territories that are going through a challenging macro-economic environment like Argentina. Just to give you a sense, the decline in disposable income in Buenos Aires, the region where we operate, has been much deeper than the rest of the country affecting the consumption and social much more so in Buenos Aires than in other territories. And here what we're doing very quickly is responding with different packaging alternatives to ensure that we continue to engage with consumers both from a returnable and non-returnable perspective. Our operating model transformation keeps on moving as well. As part of this strategy, we have developed important capabilities with digital expansion of Coca-Cola FEMSA by implementing transformational initiatives in the commercial distribution and logistics and procurement front. Our analytics capability in Mexico and Colombia has delivered very positive results for us highlighted by an improved point-of-sale execution and improvements with the return to our promotional activities at retail. We are encouraged by expanding these analytics capabilities to Brazil and Argentina during 2019. Our transformational initiative in distribution and logistics are already generating savings. As an example our cost logistics services platform has generated $50 million worth of savings in 2018 and we continue -- and we have all countries already rolled out on the logistics platform as of the end of 2018. Importantly, the integration of our recent acquisition in Guatemala is going according to plan with synergies of more than $4 million. Furthermore, completing these acquisition allows us to create favorable operating conditions to ensure new business sustainability and strong growth plans for this operation and gives us certainty for strong growth in this very promising market. The results we're having in Guatemala are very positive. We're seeing accelerated growth and we continue to see very, very ample opportunity in that country. As we continue to assess our business model in each of the geographies where we operate, we're developing a major initiative that will not only strengthen Coca-Cola FEMSA and implementing new ways to work, but also streamline our operations by ensuring their efficiencies. We are redesigning processes, clarifying priorities, enabling agility in the organization and refocusing our resources to the market. We will have more news on that during our next conference call, but this is a major initiative for Coca-Cola FEMSA. With these initiatives and our cultural evolution, we continue to strengthen our organizational support our strategy and accelerate a digitally driven business model. Finally, on April 11, we completed the previously announced stock split and listing of our shares in the form of units. As a result, our new units comprise of five Series L shares and three Series B shares began trading under ticker KOF UBL on the Mexican Stock Exchange and on our company's American depository shares continue to trade on the New York Stock Exchange under the ticker KOF which each -- with each ADS now representing 10 units. This new capital structure allows our company to increase its capacity to issue more equity, which may be reviewed as consideration in future share-based acquisition as well as for general corporate purposes. It's important to stress that these adjustments do not change the percentage of ownership currently held by our company's shareholders. In addition, the Series B shares contained in our new units provide additional voting rights to minority shareholders. Moving forward, we will continue to leverage our disciplined approach to capital allocation and we feel confident that the listing of Series L and B shares in the form of a unit will help us unlock value for our shareholders and position Coca-Cola FEMSA for new growth opportunities and expansion. With that, I will hand this call over to Constantino to continue his comment.
Constantino Spas: Good morning. Let me begin by saying that the comparability of our financial and operating results for the first quarter of 2019 as compared to the same period of 2018 was affected by four main factors. Number one, volumes and financial results of our recently acquired territories in Guatemala and Uruguay were consolidated as of May 1 and July 1, 2018 respectively. On December 15, 2018, we completed the sale of our Philippines operation. Therefore according to IFRS 5, the Philippines operations is presented as a discontinued operation as of January 1, 2018. In a consolidated financial statement, we re-present it. Consequently, the company's consolidated financial results were not comparable to a consolidated financial statement published in the first quarter of 2018. Third, as of July 1, 2018, our Argentina operation was reported as a hyperinflationary subsidiary. This means that we have to re-express the results of any given month in real term through the end of the reporting period. Thus, the results of our Argentina operation in January and February re-expressed in real terms as of March 31. Also, we have to use the end-of-period exchange rate to translate the reported results of our Argentina operations to Mexican pesos. Fourth, starting January 1, 2019, we adopted the new standard of IFRS 16 leases which introduces a unique accounting lease model for tenants. The main impacts of the new standard are derived from the recognition of lease arrangement as rights of use and liability to make such statement. In addition, the linear operating lease expense is replaced by depreciation expense for the right to use the asset and an interest expense for the lease liability that will be recognized at present value. The Mexico, Brazil and Colombia operations are the most significantly affected by our adoption of the new standard. At the adoption rate, a company estimated that we recognized the right of use assets of less than 1% of total assets as of December 31, 2018 and a corresponding lease liability for all of the company's lease arrangements in a consolidated financial statement. To better describe our business performance for certain information, we present comparable figures, excluding the effects of, mergers and acquisitions, translation effects resulting from exchange rate movements and the result of Argentina because this operation has become a hyperinflationary subsidiary. In the first quarter of 2019, more than 50% of the negative effect of our reported figures was explained by currency translation effect. Moving on to consolidated results for the first quarter of 2019. Our sales volume increased 1% to close to 800 million unit cases with our transactions growing 3.3%. Our comparable sales volume was flat with the comparable transactions growing 1%. Our revenues grew 4.8%, while our comparable revenues grew 10%. The gross profit increased 3.3%, while comparable gross profit increased 8.8%. The operating income declined by less than 1%, while comparable operating income grew 9.2%. Finally, our operating cash flow increased 4.6% with flat margins, while our comparable cash flow increased 11.1%. Excluding the adoption of IFRS 16 leases, our operating cash flow would've contracted 30 basis points. Now I will briefly discuss each of operations highlights for the quarter. In Mexico, we began the year with solid revenue growth of close to 8%, driven by prices ahead of inflation and positive volumes in January and February. However, in March, facing a tougher comparable base, our volume performance softened and was also affected by two main factors, primarily the price increase done during the month and number two, the Easter holiday shift from March last year to April this year. These dynamics led to a volume contraction of 1.9% for the quarter. We continued strengthening our portfolio by implementing our affordability strategy. As a result, multi-store returnable CSDs grew mid-single digit. Going forward, we're implementing strategies to activate the market and efficiently absorb price increases, accelerate refillables and matching price points as we reignite our single-serve presentation, always looking to provide valuable options to our consumers. Moving to Central America. We reported positive revenue as we have been able to increase prices ahead of inflation, as part of our revenue management strategy. For the quarter, we reported 25% volume growth driven by volume growth in Costa Rica and the consolidation of our new acquisitions in Guatemala. These operations continue the positive volume trends, while Panama experienced a tough consumer environment and Nicaragua continues to operate in a challenging sociopolitical environment. Our positive performance in Costa Rica was mainly driven by a strong comeback in the flavor category, brand and continuous momentum for the Cola's portfolio. In Guatemala, we continued gaining share, while our implementation of route to market is driving significant volume growth. During the quarter, our Mexico and Central American division top line growth and expense control strategy enabled us to increase our operating income and expand the margin even in the face of higher PET cost, higher cost input prices and an unfavorable currency hedging position in Mexico as compared to the same period of the last year. On a comparable basis, mainly excluding our acquisitions in Guatemala, our operating income and operating cash flows increased in the mid-single digits. Moving south onto South America. We continued the positive trend in Brazil marked by our six consecutive quarter of volume growth, as volume grew 9.1% for the quarter thanks to our single-serve and returnable presentation and market share gains across CSD and NCB category. We're igniting growth via our efforts in portfolio and improved point-of-sale execution as well as a wide range of digital initiatives. We are encouraged by our Brazilian operation position to continue its positive performance. As highlights for this quarter, our single-serve non-returnable CSDs are water portfolio and are still grew double digits driven by the brand Coca-Cola, Sprite, Crystal and Del Valle. In Mexican peso term, our revenue was affected by a negative currency translation effect. On our local currency terms the prices realigned with inflation as compared to the same period last year. Over the near-term an overall optimistic macro environment in Colombia for 2019. As we commented on our last call starting last January, Colombia's fiscal reform changed the way VAT is applied to sugar beverages, from a mono phase to a multi-phase scheme. This impacts all of the products in the chain from our distributors to the final consumers. Consequently, during the quarter volumes although negative contracted less than expected. We're focused on restructuring our operation to face this new business condition in the correct manner. As part of this strategy, we're implementing mitigation actions to prevent the profitability as the year goes one, such as number one, increasing prices; two, controlling and reducing expenses; three, redeveloping a route-to-market and supply chain network; four, refocusing our portfolio on more profitable SKUs; and five, resizing our operation by taking tough measures in workforce reduction. In Argentina, the country's economic recession has proved tougher than expected especially in Buenos Aires with declining disposable income deeply affecting this market. We continue with our pricing ahead of inflation to mitigate hiking inflation and protect profitability. Therefore, our volumes have fallen by 32% as compared to the first quarter of last year. We continue to expect the complex volatile and uncertain operating environment in Argentina fueled by the electoral calendar, but we are utilizing levers such as pricing and resizing of our business and our portfolio as planned. All necessary measures are being taken aiming at surpassing current macro economic headwinds. With respect to Uruguay, we continue to capital savings and accelerate synergy by increasing production efficiency and reducing wastage. In the first quarter of 2019, we reported sales volume of 10.6 million unit cases with pricing ahead of inflation. We're very encouraged that the sparkling beverage category is gaining share mainly driven by Schweppes pomelo a grapefruit flavored sparkling beverage. In addition, we continue to do so single-serve presentations together with growing our low-sugar mix in the retail. In the first quarter of 2019, our South America division results were impacted mainly by the performance of our Argentina operation, while Brazilian operation continues to outperform our top line expectations and protect its operating margins. The main factors that impacted the division's operating margins were higher PET prices, higher concentrate cost in Brazil related to the reduction of tax credit on concentrate. The depreciation of the average exchange rate of the operating currencies as of like they are U.S. dollar-denominated raw material cost and higher labor cost. However, favorable sugar prices and expense control strategies have enabled our operations to partially offset these negative factors. On a comparable basis, excluding our acquisition in Uruguay, hyperinflationary Argentina and foreign exchange translation effects our operating income grew 4% and our operating cash flow increased close to 3%. Now regarding our financial results. Below the operating income line, our financing expenses net recorded a reduction of 24% resulting from a reduction in interest expense, a reduction in foreign exchange loss, other cash exposure in U.S. dollar was negatively impacted by the appreciation of the Mexican peso during the first quarter of 2019 and a reduction in other financial expenses. Our total debt decreased compared to year-end 2018 mainly due to our company's prepayment of MXN4.7 billion of bilateral loans due in October 2019. Additionally, our net leverage ratio ended the first quarter of 2019 at 1.33 times. Our company's weighted average cost of debt for the quarter including the effect of debt swapped to Brazilian reals and Mexican pesos was 8.0%. During the first quarter, we reported income tax as percentage of income before taxes of 32.6% compared with 30.7% last year. This increase was driven mainly by the increase in the relative weight of Brazil's profits in the consolidated results, which has a higher tax rate and higher effective tax rate than Colombia. Therefore, our consolidated net income increased 7.3%. And with that I will now hand the call back to John for his final remarks before we open it up for questions-and-answers.
John Santa Maria: Thanks, Constantino. Finally, 2019 is a year with challenges and opportunities ahead. From Mexico to Brazil and Argentina we face different economic and social environments that encourage us to look beyond each day to adjust our portfolio, explore new categories and identify new packages to satisfy our consumers and clients needs. After this quarter's results, we feel positive to see how we started encouraged about what we can do for the rest of the year. We are clearly focused on our strategic vision of becoming a total global beverage leader while delivering sustainable and profitable growth and expansion. We continue concentrating on our three objectives of growing our sparkling category and looking to improving the profitability of our still beverage category and our water category, increasing the efficiency of our operating models and reinvesting these efficiencies in stages to enable a sustainable -- to enable the sustained profitable growth of our business. Thank you for your continued trust and support. Operator, we'd like to open up the call for questions now.
Operator: [Operator Instructions] We'll take our first question from Fernando Ferreira of Bank of America.
Fernando Ferreira: Hi. Good morning, everyone and thanks for taking my question. I have two if I may. My first question is related to Brazil. And you reported an outstanding volume growth. So I was wondering if you can comment on your outlook on consumption in the country? And also I know it's the first quarter of the year, but does these result changes in some way your volume outlook for the year? And what should we expect for in this case for the remaining of the year? That's my first question. And the second one is related to innovation. Coca-Cola Company mentions several times the word innovation on its conference call. So given this new approach how do you expect this to -- in your case how do you expect this to evolve maybe in the next five years? And if you can give us an idea of how much new launches represent of your sales and if there is any significant difference by country. Thank you so much.
Constantino Spas: Hi, Fernando. Thanks for your questions. This is Constantino. In Brazil, as you mentioned, we're very encouraged by the results that we have seen. The positive performance is mainly driven by our relentless focus on point-of-sale execution. Our analytical capabilities in Brazil in order to segment the market and provide targeted initiatives in Brazil by point of sale continue to improve and we're starting to see the impact of that. At the same time, as we mentioned, we have done a pretty -- we believe we have done a very good job at redefining our portfolio both on CSDs and NCBs. As we mentioned in our last call last year we launched about 100 SKUs in Brazil and this is starting to pay-off in the market. And at the same time within our CSD category, we have developed a very strong affordability initiatives in the portfolio that are allowing us to capture consumption from the market. So we expect and continue that to be present during 2019. Good weather has also been a favorable element in our beginning of the year. And our expectation is that although this is very difficult to predict if weather should continue to be benign in the upcoming months that would be a positive element going forward. But to summarize, I think, it's a matter of much improved execution in the points of sale and at service levels adding customers on one hand; and on the other hand, we have developed a very strong portfolio that's suited for Brazilian dynamics. At the same time, we do not ignore the fact that there is optimism in Brazil right now and that consumption overall is starting to improve in different categories. So that is definitely something of great value for us now going forward. On the innovation piece, as we mentioned previously, we are strongly focused on developing our NCB category much more. A great example of that, as John mentioned a few minutes ago, is the launch of Esolipah [ph], an oral solution category that's growing phenomenally in Mexico what we call enhanced-hydration product for that particular category. We just launched it and we believe that it will be an interesting addition to our lineup in Mexico and why not in to rest of the markets if it proves to be successful, on one hand. And on the other hand, innovations we're very optimistic about innovations behind the Coca-Cola brand. As we mentioned, we launched Coca-Cola Coffee in Brazil with great results last year. We will roll that out in the rest of our markets in the upcoming months. And at the same time, we're extremely encouraged by the value proposition of Coca-Cola Energy that has been launched recently by the Coca-Cola Company in some markets in Europe. We believe that would bring an interesting opportunity for the Coca-Cola brand in every region. So overall we're very encouraged by the pipeline that we have with the Coca-Cola Company in terms of innovation and we're very prepared as a -- our organization to bring those innovations in the market. I don't know John if you want to comment.
John Santa Maria: No. I think you ask Fernando there were some targets that we had for innovation going forward. I don't think, we're -- we have a number yet, but we do see increased innovation coming from the Coca-Cola Company at an accelerated basis. Those are encouraging to us, and something that we're rolling -- we're trying to roll very fast with the Coca-Cola Company. A couple of things that Constantino, I would add to Constantino's comments. The fact that we continue to progress very fast through the integration of AdeS, the translation of Unilever to the Coca-Cola system and we're starting to leverage up with the AdeS and the Ciel plant category across not only where we have operations, but exporting it as well into Central America and place where the brands that weren't available before. And we're starting to see that now in Colombia and Costa Rica and we're starting to use those brands and starting to build those brands as we go forward. So I think on that category, there is a lot of work to be done and a lot of upside, especially since we have an upside from dairy in that area as a source of volume, regulation for us. And I think again, going forward one thing that is hard to quantify at this point and something that we're beginning to discuss with the Coca-Cola Company is what do we with coffee and now we entry into Costa in terms of having to go out there and play that out through Latin America. So those are very preliminary discussions of the things that we did in the last -- in the next four years, five years as we discussed.
Fernando Ferreira: Okay. Thanks so much for your answers.
John Santa Maria: Thank you Fernando.
Constantino Spas: Thank you Fernando.
Operator: [Operator Instructions] And Benjamin Theurer from Barclays.
Benjamin Theurer: Very good morning. And thank you for very much for taking my questions. Actually it's kind of related and a follow-up question on what Fernando was asking about Brazil. So in the last conference call if I remember right, you mentioned that the impact on the concentrate taxes in Brazil, you were quantifying them at roughly MXN400 million to MXN500 million. Now considering the healthy performance in terms of transaction volume in the first quarter, is that a number you will have to revise on the upside just because of such a significant volume growth particularly in the CSD categories, what I've seen? Or is it still somehow in the range and within your expectations? That will be my question.
John Santa Maria: Benjamin, very straightforward, it continues to be in the same range of our expectations. We're not revising that particular figure right now, but we continue to assess the impact as we move along during the year. And we continue to implement initiatives if necessary to adapt to a new situation and environment.
Benjamin Theurer: Okay. So just to understand. You basically booked that as part of costs right? And then as a result that's why gross profit is basically under pressure, correct? Just, my understand.
John Santa Maria: Yes. That's correct.
Benjamin Theurer: Okay. That's it. Well, congratulations on the rest of it. Thanks.
John Santa Maria: Thank you, Benjamin.
Operator: Our next question is from Luis Miranda with Santander.
Luis Miranda: Hi, Maria and John. Good morning. And thanks for taking my questions. Just -- it's regarding Mexico. And if you could give us some color, we saw fairly [indiscernible] to 10% price increase year-over-year. I was wondering how much is this benefit by the sales mix? And how is the performance of returnables? And the other one is out of these almost 2% volume decline, 1.9, can you give us some color how much could that be explained by the Easter holidays? Thanks very much.
Constantino Spas: Yes. Let me answer the second part of your question first. To be very clear, our volume performance in Mexico was impacted during March 7.4% in terms of contraction mainly by softer consumer environment. I mean, we're seeing that -- when you look at that figures and others retailers, we saw a softer March than what everyone expected. So I think that's the general element across consumption in the Mexican environment. Definitely, the calendar shift of Semana Santa Easter holidays was one important factor. And the price increases that we did at the beginning of the month would definitely affected our volumes. So it's a combination of those three factors that generated that contraction in March in our Mexican operation. However, I mean, we see that the consumer remains resilient looking for affordability. And we're placing a lot of emphasis on our affordability strategy in Mexico. So this connects with your first question. I mean, our CSD multi-serve returnables are growing 5.1% during the quarter versus previous year, which shows that the strategy at least in my point of view is addressing the elements that we want to address. And the focus for the rest of the year is to boost our single-serve presentations by driving strong initiatives in the upcoming months that will benefit our mix going forward. Does that answer your question Luis?
Luis Miranda: No, yes, that was very clear. Thank you.
Operator: And we'll hear from Scotiabank, we have Felipe Ucros.
Felipe Ucros: Yes. Good morning, everyone, and thanks to the space for questions. I wanted to focus a little bit on Coca-Cola Sin Azúcar. You mentioned you had great performance, particularly in Brazil and Argentina this quarter. And obviously, it has become a more important element in the portfolio as time has gone by. So I was hoping you could give us a little more details on how important it is in terms of weight within the portfolio and within sales? How fast it's growing in the different regions? And maybe also give us an idea of how the profitability of the product compares to the rest of the portfolio? Because obviously you get rid of some of the sugar cost; but as I understand concentrate may also be more expensive in this product, and in some countries you may also get some benefits from reduced taxes. So maybe if you could discuss a little of -- about the balance of that equation? Thank you.
Constantino Spas: Thank you. Just to begin with the most macro element of your question, I mean Coca-Cola Sin Azúcar is still a very small part of our portfolio, mix although growing quite fast in almost all geographies as we mentioned. I think Brazil is the highlight of that growth right now. But if we look at our total non-caloric mix, it's around 5% of total colas. So it's still quite small in that regard. In terms of the drivers behind the growth of the particular brand that were talking about Coca-Cola Sin Azúcar, it's mainly driven by targeted initiatives in with the target groups, consumer target groups that we've identified as the main drivers of consumption in non-caloric categories. Also a significant data toolkit of initiatives and promotions at the point of sales that also is driving growth behind that. And some initiatives that are targeted to a company's food occasions in some of the markets. So that's -- it's a suite of solutions behind the Coca-Cola Sin Azúcar that are driving the growth. Regarding profitability, it depends a lot on the geography and the sweetener costs that we have in each of the market. As an example, in Brazil, sugar remains very competitive in terms of cost. So there's not really a significant advantage in profitability for Coca-Cola Sin Azúcar. However in other markets, where we have higher sweetener costs, it is. In Mexico, just to give you an idea, 2% of Coca-Cola Sin Azúcar is the mix. In Argentina, it's 15%. And in Brazil, it has grown all the way to 8%. So it varies across geographies. But we continue to be very optimistic around the growth of the brand, and the fact that the consumer is starting to appreciate our non-caloric solutions for our portfolio in the market.
Felipe Ucros: Great. Thanks a lot.
Constantino Spas: Does that answer your question?
Felipe Ucros: Yes, yes. Thanks a lot for the color.
John Santa Maria: Just let me add one last thing on it. I think in a lot of different markets, we're also putting in pricing and packaging alternatives to expand the brand. In some places we're going into returnable multi-serves, for example in Brazil, which we didn't have before. That's giving us a lot more boost in terms of where we are. But we're also putting together pricing and pack strategy that allows for a differential either in package or in price, in a lot of different markets to really drive trial and continue to drive trial. So we're seeing a very positive link between trial packaging and adoption of the brand going forward. So that's what's driving this in all different markets.
Operator: Our next call is with Lucas Ferreira of JPMorgan.
Lucas Ferreira: Hi, gentlemen. Thanks for the question. My first one is also on Brazil, wanted to ask you about the competitive environment. You mentioned great execution as being one of the main factors behind your market share expansion. I'm wondering how do you see the competitive environment in Brazil. As I mentioned before, on the consumer side, we're definitely seeing more optimism in the consumers that has been reflected in increased demand activity in many categories. And that is definitely a tailwind for us going forward in Brazil. On the cost side, we're not seeing -- I mean, we're seeing stable cost. Sugar prices in our key markets we believe will remain quite stable in the upcoming months for the rest of this year and the pressure that we have on PET should yield and we see more stable prices by the end of the year. So in that particular regarding COGS, we think we have a pretty stable outlook going forward unless any factor -- unexpected factor kicks in that we have not foreseen. I don't know John, if you want to comment on Brazil.
John Santa Maria: Look I think some of the things are very encouraging as we've seen consistent growth over many quarters and it's volume driven and transaction driven and we have a strong portfolio. And throughout that period of time and even during I think it was March that we took some -- beginning of this quarter or late March, we took some pricing and we continued to see continued volume momentum not affected by pricing. So the price realization that we're getting in Brazil is within the expectation of a recovering market and I think something that will continue. The question going forward is I think is not so much if we're going to take much more pricing. The issue is going to be can we maintain the volume growth. And I think some of the numbers that you're seeing and that we're just reporting, we'll probably see on the back end of the market as we lap high numbers continued growth, but at a declining rate. So I think the first half of the year is going to be exceptionally strong and then coming down to a more normalized level of growth. But very encouraging here is that the revenue line is a very solid revenue line and it looks like it's sustainable. And within the marketplace we're seeing less, less I would say deeper discounting than we've seen before. So that's also an encouraging sign.
Lucas Ferreira: Thank you very much.
Operator: And with Goldman Sachs, we'll hear from Luca Cipiccia.
Luca Cipiccia: Good morning. Thanks for taking my question. It's a follow-up I think you've partially already answered. But I was hoping you could explain the relative performance that maybe you are showing in Brazil compared to the rest of the system of Coca-Cola aggregate numbers. It seems quite visible and quite remarkable in this quarter, but also it's been a while. Maybe just the logic of that explains the gap or the fact that you are outpacing it seems to me from the numbers the rest of the system from a product perspective. And then same question smaller market. But if you can remind us why in Argentina instead it seems that whenever there is a significant sort of macro volatility, it multiply your results and your volume is greater; and comparatively your decline seems to be greater. Maybe if you could just share some comments on these two relative trends that would be great.
Constantino Spas: Sure, Luca. Thank you. I think a couple of things. First, in Brazil, we have -- in the sparkling segment, we have a very deep portfolio and we have a very, very large portfolio of returnables. And I think you can compare that versus other bottlers in Brazil we have a disproportionate amount of returnables than the rest of the Brazil players; and one that we continue to build on the multiserve side very aggressively. And like I said, we're looking not only to grow Coca-Cola rough pack, but also to get it into Coca-Cola Sin Azúcar. And so we're leading the pack on that. We're continuing to invest very aggressively on that. Second is on the noncarbonated side. We talked about this before. We had 100 launches last year. We re-redesigned our whole portfolio. And that's something that we've done as the leading bottler in Brazil. And I think the rest of the bottlers in the system are following that lead aggressively, but there's probably a timing gap difference there, but we have done that. There's other things that I think we're doing that are more endemic to Coca-Cola FEMSA. First, we're continuing -- I think first and what's very importantly is in cold drink equipment. Compared to the history in Brazil, the last three years in Brazil, we've been putting in very strong initiatives on cold drink and it's been playing out for us. So I think it's also just we ensure looking at the business that we're in. We'll continuing to go out and -- putting out more and more capabilities to execute in the marketplace along all the channels and upfront report. And the third piece is I think on the digital piece and that digital piece has many components, but the first piece is the analytics piece. The second piece has to do with the way we're going out there and servicing our customers with much more focus and information on digital. We're working with food aggregators and nonetheless, it's probably state-of-the-art for Coca-Cola FEMSA and Coca-Cola in Latin America. So there's a lot of things that we're doing in Brazil that are doing very well for us. So I think that would explain it's not one thing that explains the difference. There's a lot of different things that are explain the difference. I think also if you look at certain areas, we're doing well in beer also as additional category and probably that is not as important in other franchise territories as it would be with Coca-Cola FEMSA. So it's an aggregate set of components that are making our performance differentiated versus other bottling companies. That being said, let's turn to Argentina for a second. I think in Argentina you have to remember that most of the inflation that has come -- well the Argentine -- the Buenos Aires area has been by a disproportionate amounts of inflation. When I look at these numbers all the -- the elimination of subsidies on electricity, the elimination of transportation subsidies have been hitting the Buenos Aires area. So the effect to the other rest of the countries has not been as important as the inflation that we have in Buenos Aires. So, our objective in Buenos Aires is to stay ahead of the pricing curve or within the price curve and trying to really play a very difficult game and ensuring we're engaging with the consumer and not losing margins. So, yes, we are below what other people are, but I think that the jury has to be put out with a complete vision of -- what the vision of our profitability is along with share and volume. So, I think it's a difficult context. We're not necessarily on the top line in terms of volume performing steadily versus other bottlers. So, I would think that from a margin and profit perspective, we're there or getting there. And secondly, we're adapting fast to the hole that we maybe opened up in terms of our packaging portfolio relative to the consumer. So, those are going to be things that we are adjusting to during the second quarter and it's a very different circumstance, because obviously, the Argentine issue continues to evolve is dynamic and it does not look like it's going to be a short-term issue as we thought for the first half of this year. Does that answer your question?
Luca Cipiccia: Very clear. Thank you. Absolutely. Very clear, very informative. Thanks.
Operator: And we move to our next question that is Leandro Fontanesi with Bradesco.
Leandro Fontanesi: Hi. Good morning. I have two questions, please. The first one is, I understand that Heineken has launched a new carbonated drink brand in Brazil, including colas and lemon and some flavors that might compete with some of your products today or in the future. So, if you could just share one of your thoughts -- some of your thoughts on that. And the second question, I know you commented about the IPI tax in Manaus, but just to be clear there was, if I'm not mistaken some ruling by the Supreme Court in Brazil today allowing these credits to be used by beverage companies. I don't know if that changes anything for you in this benefit going forward. If you could also provide some color on that? Thank you.
John Santa Maria: Thank you. I think the launch of a carbonated soft drink by Heineken or whomever at this point is something that we see continuously in the marketplace. This is -- either we do this -- we see this either because of whether it is a house brand by retailers or because there's -- it's just general affordability. This is something that Brazil is faced with new entrants that exists at low values and this is something for Brazil that is not new. So, I say -- when I looked at it and saw it's something that is I think recurring normal and something that -- I think they're probably doing the right thing for their portfolio, but it's not necessarily either I think something that we have a tremendous amount of concern about, but something we'll keep our eye on. And so I think it's something more than anything else to revitalize what they had in their portfolio already of their carbonated beverages. Secondly, I think -- you talked about the ruling on the credit and I think you're talking about the Nokia case. I think it looks very favorable. It's a very, very -- it's a landmark case and the impact that it will have for us is we're eliminating any past contingencies that may be out there. And going forward, I think the tax implications and the tax rules that are in place today are the ones that we're looking for and it just basically has the effect of -- but you won't see any potential contingent liabilities in Brazil. And I think in that sense we're looking at it and it is very favorable response.
Leandro Fontanesi: Got it. Just a follow-up on that. Do you have an idea what will be the benefit around 2020 onwards, or is it still to be defined?
John Santa Maria: We are still …
Leandro Fontanesi: The 4% …
John Santa Maria: … I mean, we need to understand the ruling more. It just happened a few hours ago, 24 hours ago, I think or less. So we need to understand it better with our team in order to provide an outlook and an interpretation for that going forward. So for now, I would say the status quo as we've stated in the past. I would not like to renounce myself in any -- on any forward outlook from that particular element until we have all the understanding of the implications of the ruling. So we can follow on that …
Leandro Fontanesi: Thank you very much.
John Santa Maria: … later on or in the next call, if that's okay for you.
Leandro Fontanesi: Sure. Thank you.
Operator: From UBS, we'll hear from Alan Alanis.
Alan Alanis: Thanks so much for taking question. Also regarding Brazil operations, you reported like a 5% in pesos. And if my numbers right and please correct me if they're not, this translates into like a 19% growth in revenues in Brazil. Well, first of all, congratulations for that. That's an amazing number. But I wanted to know given the numbers that you show on beer and in soft drinks it seems that beer grew much faster around 30% growth in revenue of beer and around 14% in revenues growth in soft drinks. So the question is, why are we seeing such a much faster growth in beer in Brazil relative to soft drinks?
Constantino Spas: Well, thank you for the question. As we said in the last call, I think, we need to be respectful of Heineken's trading update that they did recently a couple of days ago. I would not go beyond the explanations that they've given. As they stated in their trading update, the beer portfolio for Heineken has been growing double-digits across all Brazil and across their portfolio. We don't represent all Brazil and all of their portfolio, and we're pretty much in line with the growth figures. And what I would say is that we're seeing a very solid development and performance of the premium brands in the portfolio, in the case of the Heineken brand as well as also the mainstream proposal under the Amstel brand in Brazil. So I think the consumers are appreciating two very strong and solid brands in the portfolio that is performing well, that have been handled very well by the brand owners and that is an interesting dynamic that is occurring right now in the Brazilian market that's driving very good growth in that particular segment, which is translating also in important market share gains for them, but I would refer to the Heineken team to give you more details on that particular one. But, yes, you will see a very solid growth and performance behind the brand.
Alan Alanis: But anything from the categories themselves -- I mean because this is something that has been going on for years now that we've been seeing basically beer volumes performing better or declining less during the recession and now growing faster than soft drinks. Anything particular in the categories that we should be aware, irrespectively of this quarterly results?
Constantino Spas: I think it's -- as you mentioned, it's a sustained trend. I think that the -- in the particular case of beer, when you look at pure malt value propositions, they're being very well received by the consumer. And in the case of our portfolio, as I mentioned before, the Heineken brand and the Amstel brand are parts of that very strong consumer trend which is a particular dynamic within the beer category. We're fortunate enough to be playing in that space.
Alan Alanis: Got it.
Constantino Spas: John, do you want to elaborate on that a little more?
John Santa Maria: No, I think, again, I think, one of the things that we do see is, that we have a much broader consumer different -- in terms of different categories that we play in, definitely. It goes from water towards the tonics to juices so the day parts are different. There's a lot of different reasons to get into that. I do think when you start looking at this, is that there is a clear trend of gaining share in beer that we've been able to sustain over the last six quarters that continues within the premium segment, which makes it even much more revenue effective, if you want to look at it like that. And so, the number that you're talking about are correct, in terms of revenue growth. And when you start looking at where we're gaining share in beer, it is in the more premium segment than it is in the basic segment. But -- so that's driving the growth. And so, the consumer over there is shifting towards -- more and more towards the premium segment. And so, like, when we talk about, revenue is one thing, when we talk about transactions it's another thing. We've been looking at growing transactions in our base business; it grows very fast, okay. Also -- I mean, when you start looking at transactions growth over there, it's been significant. Again, and if you're comparing, it is a market leader that has dominant or very, very significant position like Coca-Cola, versus brands that have enough -- that have a lot of headwind for growth in their different dynamics.
Alan Alanis: Got it. Thank you. And a quick follow-up on another topic, just pure soft drinks. The question is, in terms of the pricing that you take, both in your -- and it's related to a question that I think Luca was asking before, but also now applied to Mexico. I mean is there a difference in the pricing actions that you take in Argentina relative to the rest of the system? And the same question for Mexico? I mean, in other words, is the change in performance of volumes relative to the rest of the system explained at all by a different pricing strategy, both in Mexico and in Argentina relative to the other bottlers?
John Santa Maria: Yes. I think it's a very accurate question and a very accurate observation, Alan. We have been much more aggressive in Argentina than other bottlers in terms of taking pricing.
Alan Alanis: Okay.
John Santa Maria: And we've been ahead of the curve on pricing than the rest of the bottlers. And so -- and for different dynamic reasons, because inflations are different and economics are different in different places. And secondly, in Mexico, we are also probably not in lockstep with rest of the bottlers. We are closer, but there is difference in timings and we're probably a little bit ahead.
Alan Alanis: Got it. That’s very useful, John. Thank you so much.
John Santa Maria: You're welcome.
Operator: From HSBC we'll hear from Carlos Laboy.
Carlos Laboy: Thanks. Good morning everyone. The comparable growth algorithm for Mexico, Central America division of minus 2% volume, plus 7% revenue, plus 12 EBIT, it's impressive. How much of that revenue is revenue growth? How much of it is REIT? How much of it is mix? How much of it is different -- better management of trade discounts, would be one question? And then related to that, this -- it’s a sustained focused on price increases, which seems to be a break with historic philosophy in Atlanta, is this -- it is likely to go on for quite some time here. And how important is it, John, for you to have this strategy to meet your ROIC and your organic growth challenge?
John Santa Maria: Hey, Carlos, how are you? Listen, I have become very encouraged to see what we're doing on pricing. Yes, we are pricing up ahead of inflation. And we've done so over the last couple of years. Now that has and what we've seen so far has been pretty much price and rate, okay? And due to that fact we've been doing a lot of revenue growth management models. And -- but we're seeing -- because of the analytics that we have in place, being able to get better returns on our invested dollar at trade. So it's -- I think it's a little bit of more targeted pricing. Primarily, this year it's been more looking at multi-serves to make sure that we continue to make -- have relative pricing between a curve [ph] of packages that makes sense to the consumer. And I think -- and putting it in your term, its more rate than it would be mix. The second thing is, we've see enormous amount of progress where we've put out revenue growth management tools in terms of being able to lower discounts, okay, and become very effective in terms of managing discounts in the -- in both Mexico and Colombia. And that has been part of the driver also doing enough to realize higher pricing. But the focus going forward is necessarily going out there and just setting higher rate, we've really like to do from here and always looking at any office riving more on the issue of mix, okay? And focusing more on single-serve packages on a profitable basis and putting that together, as we go forward, and I think that's the next step that we have work on, as a team to able to continue to drive revenue growth. So, and I think there's a lot of opportunity there. And we'll be taking very significant actions on that for the second half of the year. As we get our tools in place to do so. So, I think that's the first question. The second question you asked is, on lack of income growth. Obviously, it's a very important consideration. I think as we go forward, we're seeing a couple of issues in terms of -- it's encouraging to see that Brazil's coming back in a very significant manner. That should play an overall big positive for the ROIC on Coca-Cola FEMSA. The Mexican ROIC is within acceptable ranges. We issued a report. The Colombian ROIC is something that we established and reestablish. Over the last two years especially these last two months or three months we've been restructuring the business. We've taken very significant actions in Colombia in terms first pricing business, very significant. Secondly, we took out about -- almost 300 people of our staff to be able go out there, And adjust the business through economic reality. And the third thing is that we're also being much more selective on BMV to be able to go out there and sustain economics. And what is surprising is to see how well we're doing relative to plan, and how all of a sudden we're seeing the market bounce back. We're working on a lot on SKU rationalization, both on -- in all of our territories. But more so, on the non-carb business okay and we're being very deep, very deep along with the Coca-Cola Company. This is something that we're doing very jointly. And I think, on non-carbonate profitability, and understanding where that is and what our issues are. I think we're moving in lockstep along with Coke. And we're trying to develop a broader and more fundamental basis of understanding of ROIC okay? And I think it's been very encouraging to see how either system we are working jointly to go out there and get that ROIC above our rates. So, I don't know if that answers your question. But I think going forward, those are metrics that the system has very top of my mind, okay? And I think -- again I'd emphasize it's a system issue already. And so it's not necessarily something that is -- it won't bother other bottler. Does that help?
Carlos Laboy: That's very helpful. Thank you.
Carlos Laboy: Yeah. Thank you.
Operator: We'll next hear from Alex Robarts with Citi.
Alex Robarts: Yeah. Hi. Good morning everybody. Thanks for taking my questions. So, it's really first about Colombia. And then second about non-carb. So you told us last quarter that, you've executed some restructuring measures in Colombia to respond to the VAT changes and such. And we see kind of a tough first quarter here with volumes down about 9% I guess? But can you give us an update on how the rightsizing of your footprint is going there specifically in response to these changes at the VAT? And maybe in the answer if you could give us a sense of how you've seen the competitive activity in the first quarter. I mean, I guess, this is the first time your main competitor postal bond is going to market with a beer. And I wonder if that's changing the dynamics at the points of sale and the receptivity of your products. So that's kind of the first question. And just the second one is really taking advantage of John being with us here on the call. You mentioned a few things around the non-carbonated beverage strategy as you think about it with new category concession. And I guess the question is this, and Atlanta has talked about reaching certain goals on the global Coke volume level as far as where they like to see non-carbs be and get to as a percentage of total volumes. The LatAm bottlers skew below that and there's, several structural reasons for that. But as you think about your non-carb strategy over the medium-term, how much is the nonorganic component really a piece of that? Or you're really just kind of thinking about it from an organic growth standpoint? You mentioned in the fall in New York when you were here that M&A is something that you look at in the non-carb space maybe even Brazil. Your balance sheet you have some debt capacity obviously from the Philippine proceeds. But so just wondering if you could comment on M&A and the non-carb outlook? Thanks very much.
Constantino Spas: Alex this is Constantino. I'll take your first question then refer to John. Having John here will be very important to answer your second question. In the case of Colombia as we mentioned, we are focused mainly Alex on five key pillars of the strategy. First pricing, we've done some important pricing in redefining our pricing architecture across our portfolio in order to mitigate some of the impacts that we're facing for the new environment. That's already in place. Secondly, very tight cost and expense control. As John mentioned, we have taken some very tough measures that is always very painful, in terms of reducing our headcounts in Colombia in order to right-size the organization and that's already in place. Third, we've done some very deep SKU rationalization and we continue to look at that. And that is also connected to our fourth element which is our restructuring and redefining of a route to market in Colombia. As you probably know, Colombia is really a mix of very different realities. It's not the same to operate in highly dense urban configurations like Bogota. There are many secondary and third and small cities in Colombia and what we're doing right now is redefining our route to market per type of market right now. We've done some important redefinitions for example in Cali and we're extremely optimistic with the results that we're seeing there. So behind that we have a very agnostic look at the way we deploy our route to market in Colombia. And that is allowing us to redefine the way we do it much more efficiently and effectively in the market. And at the end of the day this has been basically a very deep process of redefining and redeveloping our route to market and supply chain to improve our efficiency across the operation. So it's an ongoing process in that regard. But we're very optimistic of the results that we're seeing. In some of the things, we're experimenting some very innovative ways of going to market or in some cases, redeploying basic and fundamentals of this particular business that we have changed for other objectives. I mean it's important to call out that Colombia has very low drop sizes in the traditional channel and that requires being extremely efficient with the route to market. And our traditional way of going to some of these channels with a red truck is not necessarily the best way to serve them right now in this -- in a very adverse environment that we're facing. So it's a combination of those four different pillars that we're implementing right now. And as I mentioned, it's a continuous process and we hope to have more stability and clarity on this particular one in the upcoming month. By the end of this year, I think we'll have a fully embedded new business model in Colombia, adapted to the new environment. With that I'll flip it over to John for your second question.
John Santa Maria: I think just corresponding to the first question, we have had a big pending issue in delivering results in Colombia. There's no doubt about it. But I am also at the same time as we you speak about that we're very excited about where we are because we have an exceptional asset base. We have good bass and the only way we're going to get out of this is by growing. And I think, the fundamentals that I see on this team is just a go-forward approach and our execution is all starting to give results. I'm very optimistic that the solution in Colombia is going to be relatively fast, okay and also the level of collaboration that we have with the Coca-Cola Company in fantastic. So I think both of those issues are going to present in Colombia. On non-carbs, your question was, will we grow organically or not? I think first of all, we see a lot of opportunity to continue to rationalize our SKUs portfolio in non-carbs, focus on profitability, really start with focusing on what we would call our real gasoline type of SKUs, which are our fuel and continue to grow through innovation in [indiscernible] is one of these type of product, continue to look and explore and continue to do that organically. We have the balance sheet to be able to do any kind of organic -- inorganic acquisition at this point. Between the debt capacity and the equity capacity that we have, we're probably between -- we're closer over $5 billion worth of capacity. But I would say that those are really bolt-ons, okay and regional players more than kind of obviously that we'd look at, at this point in time. It only make sense, if we do it. And we're always looking for those type of opportunities. So it would be hard to answer that question more specifically. But in terms of the new categories, I mean there's always things that we're developing and understanding better. Dairy is always an area that we're trying to understand better and perform better. And we're doing that in a lot of different markets and very satisfied with what we're doing in Brazil. Very satisfied with what we're doing in Mexico and we're looking to turn around the situation in Central America I think much better. And so that opens up a host of opportunities also, but the minor bolt-on opportunities I think that's what would a certain impact for us and that we can leverage later on. I think more importantly, the leveraging that we have currently, okay? We have the ability to go out there and have major assets such as Jugos del Valle in Mexico or Abis in Mexico and looking and to see how we can go out there and regionally leverage the scale of those businesses into our Central American markets and North-South American market. So I think that's probably as important as the sales price than anything else. Does that help?
Alex Robarts: Very helpful. Thanks a lot. That was very great. Thanks.
John Santa Maria: Thank you.
Operator: And it appears there are no further questions at this time. Mr. Santa Maria, I'd like to turn the conference back to you for any additional or closing remarks.
John Santa Maria: Well, I'd just like to thank everybody for accompanying us today and your interest in Coca-Cola FEMSA. And as always, our team is available to answer any of our remaining questions as we continue to plow through the information. And I think we're satisfied and I'm satisfied how this review started off and I'm very positive that the balance of the year that's good for us. So thank you very much for accompanying us and we'll be talking in a couple of more months.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.